Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the ACM Research Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, we're recording today's call. If you have any objections, you may disconnect at this time. Now I will turn the call over to Mr. Steven Pelayo, Managing Director of the Blueshirt Group. Steven, please go ahead.
Steven Pelayo: Good day, everyone. Thank you for joining us to discuss second quarter 2025 results, which we released before the U.S. market opened today. The release is available on our website as well as from our newswire services. There is also a supplemental slide deck posted in the Investors section of our website that we will reference during our prepared remarks today. On the call with me today are our CEO, David Wang; our CFO, Mark McKechnie; and Lisa Feng, our CFO of our operating subsidiary, ACM Shanghai. Before we continue, please turn to Slide 2. Let me remind you that the remarks made during this call may include predictions, estimates or other information that might be considered forward-looking. These forward-looking statements represent ACM's current judgment for the future. However, they are subject to risks and uncertainties that could cause actual results to differ materially. Those risks are described under Risk Factors and elsewhere in ACM's filings with the Securities and Exchange Commission. Please do not place undue reliance on these forward-looking statements, which reflect ACM's opinions only as of the date of this call. ACM is not obliged to update you on any revisions to these forward-looking statements. Certain of the financial results that we provide on this call will be on a non-GAAP basis, which excludes stock-based compensation and unrealized gain and loss on short-term investments. For our GAAP results and reconciliation between GAAP and non-GAAP amounts, you should refer to our earnings release, which is posted on the IR section of our website, and to Slide 13. Also, unless otherwise noted, the following figures refer to the second quarter of 2025 and comparisons are with the second quarter of 2024. I will now turn the call over to David Wang. David?
Hui Wang: Thanks, Steven. Hello, everyone, and welcome to ACM Research second quarter earnings conference call. We delivered another quarter of good results with strong sequential growth in both revenue and shipment, reflecting continued progress across our expanding product portfolio. We saw momentum from our STM, Tahoe, plating and furnace tool, which are helping expand our addressable market and gain market share. We also continue to make progress with new platform, including track, PECVD and panel-level packaging tools, which represent important long-term growth drivers. We recently announced a major upgrade to our Ultra C wb wet bench cleaning tool. The technology integrated ACM patent-pending nitrogen bubbling technology to generate a large-sized bubble with good bubble density uniformity and enhance etching rate uniformity in the 3D structure across the wafer. I'm happy to announce that we have received repeat orders for the new Ultra C wb wet bench tool with our proprietary N2 bubbling technology. We expect good shipments for this tool this year and next. The technology is also adaptable to our Ultra C Tahoe platform with significant application potential for manufacturing advanced 3D NAND, 3D DRAM, 3D logic devices. We believe this new technology is another example of ACM's leadership in cleaning tools that will be good for our customers and support our growth initiatives. Our nitrogen bubbling technology tool adds to early breakthrough for Tahoe and other recent products launching such as our high- temperature SPM tool and panel-level packaging tool for flux clean and bubble etch taken together, these developments reinforce ACM's differentiated leadership in wafer cleaning and give us confidence that we will continue to gain share in a critical segment. We remain committed to deliver innovative new products such as this to enable our customers to meet next generation of semiconductor manufacturing challenges as demand by the artificial intelligence transformation. Now on to our business results. Please turn to Slide 3. For the second quarter of 2025, we delivered revenue of $215 million, up 25% sequential and 6% year-over-year. Shipments were $206 million, up 32% sequential, up 2% year-over-year. Gross margin was 48.7%, exceeding our target range of 42% to 48%. We ended the quarter with a net cash of $206 million. Now I will provide a detail on product. Please turn to Slide 4. Revenue from single-wafer cleaning, Tahoe and semi-critical cleaning tools grew 1% and represent 72% of total revenue. We believe our top to bottom cleaning portfolio put us in a strong position. We continue to make technical improvement and customer progress with our SPM tool. Our high-temperature SPM system features ACM proprietary nozzle design, which prevent both liquid SPM and acid mist spat out of the chamber during SPM process. This improving particle performance reduced chamber preventative maintenance, cleaning frequency and enhance the system uptime. We have achieved a better particle control over average particle count less than 10 at 26 nanoparticle size. We also believe it will show better performance than competitors offering at the particle sizes more than 17 and 15 nanometers. In Q2, we delivered SPM and Tahoe tools to several more customers, as we continue to gain market share in SPM space. Revenue from ECP, furnace and other technology grew 23% and represented 22% of total revenue. ACM recently delivered an ECP tool to a customer, which included company's 1,500 electroplating chamber shipped. We are seeing a strong momentum for ECB tool in advanced packaging driving by demand for both front and back-end plating system. We are also seeing growth interest in our new Ultra ECP APP panel level horizontal plating system as the industry shift from wafer to panel-level packaging to support the next-generation AI chips, our unique horizontal plating approach, which delivers superior uniformity than vertical panel plating solution has attracted attention from the major players. Our furnace products are building momentum, supported by strong customer interest and expanded pipeline of evaluation and engagement. We see good demand across multiple applications, including high-temperature neo, especially our 1,250-degree C-degree version, high-temperature neo furnace and also LPCVD oxidation and ALD. We believe ACM differentiated design position us to capture meaningful market share. Revenue from advanced packaging, which excludes ECP, but including service and spell was up 20% and represent 6% of revenue. We are making good progress with our new track and PECVD platform. Our proprietary PECVD platform with 3 trucks for chamber give us flexibility to support a wide range of process with the same hardware. We feel good about our positioning with a plan to deliver more beta tool to a handful of customers this year and look for revenue contribution in 2026 and beyond. For Track, we're in the final development phase of our 300 wafer per hour in-line KrF tool, and we expect to deliver the beta tool to a key customer in the current quarter. To close on product, our road map, including incremental contribution from Tahoe SPM and furnace tool in 2025 with the panel-level packaging, Track and PECVD tool expected to drive growth in 2026 and beyond. Please turn to Slide 6. Our first half results reflect solid execution across our product portfolio. We remain confident in the year and our long-term opportunity in China. As a result, we have increased our long-term revenue target for Mainland China to $2.5 billion versus our previous target of $1.5 billion. The increase is based on 2 main factors. First, we're now assuming a long-term China WFE market size of USD 40 billion versus our prior assumption of USD 30 billion. This is based on updated by third-party global market forecast and also our view of the China semiconductor industry. Second, we have adjusted our market share targets for product group as follows: we have raised our market share target for both cleaning and plating to 60% versus 55% prior. This is a result of our current assessment of customer traction and increased confidence for share gain for new products. For furnace, PECVD and Track, however, we're keeping our target at 15% and 10% level. Of course, we aspire to achieve better results, but need more time in the market before we will formally adjust the target. Moving to the bottom of the chart, we maintain our revenue target for the rest of the world at $1.5 billion. We believe ACM focus on differentiated world-class product, combined our global sales and service team will deliver results with our global customers. As an example, we have a plan to deliver a several tool to the U.S. in the third quarter. We remain engaged with our major U.S. customer with active evaluation across a range of the cleaning process steps as we continue to work towards our global -- our goal for production orders. Bottom line, we have raised our long-term revenue target to $4 billion versus our prior target of $3 billion. Now I will provide an update on ACM Shanghai's proposed capital raise in China. ACM Shanghai recently received approval from the CSRC to proceed with its proposed follow-on offering on the stock market to raise up to USD 620 million by selling less than 10% of the total share. The capital raising is leadership is intended to help accelerate our updated revenue target and add to the long-term foundation to support our effort to scale our product to major global customers. As the majority shareholder, we view the proposed transaction as an important step in strengthening our position in the China market, and it demonstrates the long-term value of our ownership stakes. Next, let me provide an update on our production facility. First is Lingang. Please turn to Slide 8. As I discussed last quarter, our state- of-the-art Lingang production and R&D center is nearly completed. The site including 2 production buildings with the first now in production and the second available for future expansion. Each of the 2 production buildings can support up to $1.5 billion of annual production capacity combined. We believe we can eventually support $3 billion of production at Lingang from the 2 manufactured building. Next, our Oregon facility. Please turn to Slide 9. Recall, we purchased a 40,000 square feet facility last year. We made good progress during the second quarter, and we have began upgrade on our customer demo R&D lab. We believe this will help our effort with the customer in the regime as we will let them test wafer locally on ACM tool. We also are moving forward with a plan to add production capacity to the Oregon facility. We target the middle of 2026 for the demo lab and production to commercial operations. Our investment in Lingang and Oregon are key enabler of our growth strategy, expanding our capacity, strengthening customer support and prepare us to scale globally. Now I will provide our outlook for the full year 2025. Please turn to Slide 10. We are maintaining our 2025 revenue outlook in the range of $850 million to $950 million. This implies 15% year-over-year growth at the midpoint. In close, our focus remains on delivering differentiated, enabling technology that solve our global customers' most critical process challenges. Now let me turn the call over to our CFO, Mark, who will review the details of our second quarter results. Mark, please?
Mark A. McKechnie: Yes. Thanks, David. Good day, everybody. Please turn to Slide 11. Unless I note otherwise, I'll refer to non-GAAP financial measures, which exclude stock-based compensation, unrealized gain/loss on short-term investments. A reconciliation of these non- GAAP measures to comparable GAAP measures is included in our earnings release. Also, unless otherwise noted, the following figures refer to the second quarter of 2025 and comparisons are with the second quarter of 2024. I'll now provide the financial highlights. Revenue was $215.4 million, up 6.4% Total shipments were $206 million versus $202 million in Q2 '24 and $157 million in Q1 of 2025. Strong sequential rebound in Q2 shipments led to a return of positive year-over- year shipment growth for the quarter. Gross margin was 48.7% versus 48.2%. This exceeded our long-term business model target range of 42% to 48%. We expect gross margin to vary from period to period due to a variety of factors, including sales volume, product mix and currency impacts. Operating expenses were $63.4 million, up 38.8%. R&D was 14.5% of sales. Sales and marketing was 9.3% of sales and G&A was 5.6% of sales. For 2025, we now plan for R&D in the 14% to 16% range. This is an increase versus last quarter's plan due to ACM's continued focus on proprietary R&D programs. We plan for sales and marketing in the 8% range and G&A in the 5% to 6% range. Operating income was $41.5 million, down 20.2%. Operating margin was 19.3% versus 25.6%. Income tax expense was $1.9 million versus $9.3 million. For 2025, we expect our effective tax rate in the 10% range. Net income attributable to ACM Research was $36.8 million versus $37.5 million. Net income per diluted share was $0.54 versus $0.55. Our non-GAAP net income excluded $9.8 million in stock-based compensation expense for the second quarter. I will now review selected balance sheet and cash flow items. Cash, cash equivalents, restricted cash and time deposits were $483.9 million at quarter end versus $498.4 million at the end of the first quarter. Net cash, which excludes short-term and long-term debt was $205.8 million versus $271.0 million at the end of the first quarter. Total inventory net was $648.3 million versus $609.6 million at the end of the first quarter. Raw materials was $285.6 million, up $45.7 million quarter-on-quarter. We made strategic purchases to support production plans and to mitigate any potential supply chain risk. Work in progress was $60.7 million, down $10.2 million quarter-on-quarter. Finished goods inventory was $302 million, up $2.2 million quarter-on-quarter. Finished goods inventory primarily consists of first tools under evaluation at our customer sites, along with finished goods located at ACM facilities. Cash flow used by operations for the first half of 2025 was $39.6 million versus $51.9 million cash flow provided by operations in the year ago period. Capital expenditures were $32.2 million for the first half of 2025 versus $39.7 million in the year ago period. For the full year 2025, we expect to spend about $70 million in capital expenditures. That includes our prepared remarks. Now let's open the call for any questions that you may have. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Charles Shi with Needham & Company.
Yu Shi: First question on shipment. I noticed that the shipment was up, but only up slightly on a year-on-year basis. I recall you guys previously said the full year '25 shipment should be -- I mean, should grow, maybe not necessarily growing faster than revenue this year, but that should grow. But it looks to me that in second half of the year, you have a good amount of catch-up to do for shipment to be flattish versus last year's level. Is that still the right target to think about shipment or maybe the full year number may actually come down a little bit on a year-to-year basis?
Hui Wang: Charles, our 2024 shipment was very strong, right? You recall about over 2023 is 63% of the increased rate. So then we also have a lot of new products and this year, we're contributing to the shipment this year. So I want to say the first second half year, obviously, much stronger than the first half of the year. We're expecting still growing for '25 -- I mean 2025 and growth is still achievable.
Yu Shi: Got it. So relative to, let's say, 90 days ago, the expectation for shipment for this year, do you see actually its shipment growth may be stronger than you thought 90 days ago or flattish or weaker? And any directional color you can provide? The reason why I ask this, maybe it's good to get your thoughts as well. The -- your U.S. peers who have reported so far ahead of you have been seeing China WFE upside, especially for the second half of the year. Wonder if you are seeing the same thing or not.
Hui Wang: Yes. I should say our Q3 is very strong, right? We see the Q4, and there's still some slot fill in. And so I still see the very good and outlook for Q4. So I was compelled like you said 90 days ago, we see that the market situation can improve.
Yu Shi: Got it. Lastly, I think, Mark, you mentioned some strategic purchase you made over the last quarter. I think the news flow did suggest that the U.S. may be working on something at -- in terms of export control at the subsystem level. Wonder what's the ACM assessment on, let's say, supply chain risks, maybe for the reasons of potential new export controls and how the company has prepared to mitigate that risk. And any thoughts on that front would be great.
Mark A. McKechnie: Yes, David, do you want to take that first, and I can add? Or do you want me to go ahead -- yes, go ahead.
Hui Wang: And obviously, now we are doing a multi-source of the components, right? And we're definitely looking for the new components and supplier in the other country than the U.S. And also, we have also looking for the local supplier in Mainland China. And I want to say there is a certain challenging, however, and I think we can overcome that with the multi-source alternative source supplier for our key components in the tool. So Mark, do you want to add on that?
Mark A. McKechnie: Yes. Charlie, the only thing I'd add, I think it's a good question. It's something that we look at a lot. I mean it's -- we have a pretty good solid balance sheet. We have a good forecast for our shipments. So we thought it was the right thing to do to kind of increase some of our strategic supplies of some key components. So we might even do a little bit more here in the second quarter. I'm sorry, in the third quarter.
Yu Shi: Yes. Maybe just a quick follow-up because of strategic purchase, it could be for preparing for higher demand in coming quarters or it can be more for mitigating supply chain risks, especially the -- let's say, maybe some of the components you are sourcing currently from the U.S. Which one is it more for you to do that?
Mark A. McKechnie: Yes. Yes. I mean as of December -- or sorry, January 1, you can't get parts from the U.S., right? So yes, these are strategic purchase probably from other regions. And I won't really break out how much of it is to mitigate the risk or just kind of based on our forecast. But it's a combination of those, Charlie.
Operator: Your next question comes from the line of Mark Miller with The Benchmark Company.
Mark S. Miller: I had a question about long-term borrowings. They're up significantly over the last 6 months. I'm just wondering, what's going on there?
Mark A. McKechnie: Yes, I can hit on that a bit, and then we got Lisa here in the background. But long-term borrowing, we did step things up a bit. There's controls over how we can use some of our capital from the China capital raise and what have you. Of course, we have that coming along. So we did step up our long-term borrowing a bit here in the first half of the year. Lisa, did you want to add something?
Yi Lu Feng: Yes. In addition to that, the interest rate for deposits is much higher than borrowing in China. So we're trying to use that kind of leverage to maximize the returns.
Mark A. McKechnie: Good opportunity to kind of take the lower interest rate down. Yes. Next question please operator.
Operator: The next question comes from Suji Desilva with ROTH Capital.
Suji Desilva: Congrats on the progress here. So milestone-wise, can you talk about the customer traction outside China and what some of the milestones we would look for here, update on those -- on the customer base across different parts of the world?
Hui Wang: Yes. Suji, I think we'll continually work with a key customer in Korea and also in the U.S. And at this moment, I want to say, the -- it take a little more time. However, we are really working closely with the key customer evaluate our differentiated cleaning technology and our Masonic cleaning, and we are reaching a very encouraging result. Also, we're working with the Korean customer for their copper plating product, and that also made the progress, right? And continuing, we're also exploring new customer in both U.S. and Taiwan. And I think especially -- I want to say, our panel level packaging tool made a very strong attraction right from Taiwan customer, too. So I want to say with our continued innovation technology we're providing in the market, and we're going to have our -- expand our sales revenue outside China, especially we're now building our R&D center in Oregon and also the manufacturing. And those R&D center will real maker easier and for our cleaning cover plating demo and for the customer outside China. And also manufacturing, we're doing right now prepare for the Oregon and that really give us a strong position and to minimize impact of any tariff situation. So we believe our strategy, building our R&D manufacturing center in China, in Korea and the U.S. will further strengthen our position in the global market. And we are fully confident with our new differential product. And also, I want to say, a lot of new future AI chip request, a lot of new technology, which is even today, nobody offering in the market. And those new demand for the technology driving or we put ACM's product in the differential or other position. So we believe with our innovation continues going on, and we'll continue to gain traction from the key customer in cleaning, in copper plating and panel and also other new products we're planning to. So we still have a very strong confidence, right? We're getting to the global market. I still want to say every customer in the world, the demand for the best technology, right? As we just meeting to announce, we have N2 bubbling technology, with generator large-sized into bubble with uniformity across the entire wafer in the best. So we believe that's what really driving the innovation requirement for the both 3D NAND and 3D DRAM in the future, probably also the 3D logic down the road. So that's another word I look at our innovation technology we bring to the market. Okay. Mark, do you want anything to add on that?
Mark A. McKechnie: Yes. No, David, that's a good answer. I mean we're working really hard with our big U.S. customers. We got some additional tools that are going to different organizations here in Q3 to the U.S. So our team is pretty active in Oregon. We're pretty focused on getting our demo room up and running and being ready to produce tools in the U.S.
Operator: The next question comes from Edison Lee with Jefferies.
Edison Lee: Can I maybe ask you 2 questions. Number one is for the 2Q growth at the revenue level is 6%, which is actually below the growth rate that you are guiding for the full year. So what was actually driving that slower growth in the second quarter? And then for 3Q, you said that the outlook is very strong. Can you share the growth drivers coming from logic, memory, power and advanced packaging. So which areas actually you are seeing the strongest growth and which area you are seeing the slowest growth?
Hui Wang: Yes. I mean revenue can be lumpy, right? And we're still expecting 15% middle point growth for the year. And also, we are -- you're asking the Q3 driving force, I want to say, still our cleaning and copper plating is still the major driving there. And also certain product, customer requests were shipping turned to Q2, Q3, right? I want to say, over the year, we still have a whole year, we're expecting growth better than the Q2.
Edison Lee: Right. So in China, can you talk about the growth that you're seeing from memory versus logic?
Hui Wang: I would say there -- we both on our tool sell to the memory and the logic customer, right? But you would say which is growing faster? I don't have a real number right now put in my hand. I want to say both, even look in the long run, I want to say memory is still very strong, both the 3D NAND and also this DRAM business. And of course, this is in the logic and the people are still building fabs and both for mature node and other advanced nodes. And so I want to say that I look in the next really a few years, those market is very solid, still there.
Operator: [Operator Instructions] Your next question comes from the line of Matt Cook with Pro Tanto.
Matthew Cook: Can you hear me, okay?
Hui Wang: Yes.
Matthew Cook: Good. Great. So I just wanted to ask, ACM Shanghai reported its results about 60 minutes ago. Now I know that there are different accounting standards, but their numbers look a lot better than yours. Like the difference is bigger than we're kind of used to. So revenue was $270 million compared to $215 million for ACMR and adjusted net income was $62 million compared to about $37 million that you just reported. So Mark, could you just help understand like what's caused the difference? I know there are different recognitions on revenue and timing. That's the first question, like why the results are so much better there? And if there could be some kind of like if that could swing the other way in Q3? And then the second question is, are shipment numbers different for ACM Shanghai? And if so, what are they in dollars? That would be great.
Mark A. McKechnie: Yes. David, I can go ahead and hit that, and you can add if you want. So in reverse order, yes, I mean, simply, the shipments are the same for both. They're measured the same. The difference is RevRec. And so under China GAAP, the China organization recognizes revenue upon installation. And of course, U.S. GAAP is 606, right, where we take revenue on repeat shipments or upon acceptance when it's a first tool shipments. So just a timing difference in the RevRec standards. And this quarter was a little bigger than it had been in the past. I think it could be kind of a result of some of the bigger shipments that we had last year that it took a little long -- the timing of the installations here in Shanghai. And we won't really guide how that's going to change for the back half of the year, Q3 and Q4. I don't think we're going to give any specific details on that.
Hui Wang: Yes. I want to add on that, you look at the long run, the 2 numbers should be matching, right? But looking at the quarterly, quarterly base, you get sometimes U.S. is higher, sometimes Shanghai is higher. So that's, as Mark mentioned, different recognition of the revenue. So I want to say, overall, like you said, the Shanghai number looks good. But that's on a quarterly quarter base, right? I want to say a whole year, I mean, over long run, this number is very matching.
Mark A. McKechnie: Matt, one other thing I could bring out that I think will be important is that the U.S. GAAP on the R&D side, we don't capitalize anything, right? So it's all expensed. And so there is some capitalization of R&D. I don't know if they give out the exact mix, but that's -- the big difference is on the operating expenses. That's one. And then, of course, ACMR, the global operation, we've got our cost of being a public company. And then we also have our sales and marketing effort that are incremental expenses.
Matthew Cook: Helpful.
Mark A. McKechnie: Thanks, Matt. Yes.
Hui Wang: Thank you.
Mark A. McKechnie: Operator, next question please. I think we lost the operator here. Charles, are you able -- do you have a live line, Charles? I think Charles Shi is live as Q&A.
Operator: Your next question comes from the line of Charles Shi with Needham & Company.
Yu Shi: Can you hear me?
Hui Wang: Yes. Charles, I can hear you.
Yu Shi: Yes, I feel obligated to ask a question about the long-term target. I think it's important update. But I have a really question on the Mainland China portion of the long-term projection there. I think one key change versus your prior target was the Mainland China WFE market size. You kind of raised it from $30 billion to $40 billion. It does match with where China WFE numbers were trending over the last couple of years. Last year, I believe it's slightly above $40 billion. This year, maybe around $40 billion. But I think my question is, would there be any concern, I mean, by the team, maybe you are a little bit extrapolating the peak China WFE number there from the last year's peak run rate level into the future? Or what's the confidence on China WFE maintaining at this $40 billion level over the long-term?
Hui Wang: Okay. Charles, obviously, year-over-year can be kind of changing, right, maybe 5%, 10% up and down. And I want to say our long- term revenue is not for next year, right? It's like a 5-year or time line, we talk about or beyond. So we believe that year, China WFE market will be $40 billion. That's what we talk about a long run of the goal. And you look at the expanding in China of either memory or the logic or including IGBT, there's a lot of demand here. So that's our confidence. We believe that the market, $40 billion, you look at the 5 years down the road should be the number. Of course, the global market growth, too. So $40 billion, we think is a reasonable target we put there. And second one, I want to see that is we do have also a new product coming and we through last 3, 4 years, R&D, our furnace PECVD and Track, including our latest panel level packaging tool getting into the market and start to generate revenue this year and also next year. Second, I want to mention that is we just get approval, right, from CSRC, and we have second fund raising more than $600 million. Those fund raising that will help ACM to accelerating the target R&D. And so that will be another big factor. And third one I would mention that is ACM has been really in China market insist all the differentiation, innovative technology to the market. And so I believe Chinese the customer still like the best technology with IP protection. So that really put ACM in a very unique position. And at this moment, we have not found any local Chinese company and copy our IP, infringe our IP. So we have a very confidence ACM can maintain our differential product margin. And also, as I said, customer locally we design the best technology, which is we are providing a differentiated solution. So we are much better than those people provide the similar product. And since I said, we're providing differentiation. That's what's solving the future needs for the customer. So with all 3 automation, so we are very confident. That's why we're raising this China market from $1.5 billion to $2.5 billion.
Operator: The next question comes from the line of Jimmy Hang with JPMorgan.
Jimmy Hang: Can you hear me?
Hui Wang: Yes, please.
Jimmy Hang: So I want to ask about whether you have any source of visibility into 2026. And actually, can you also share about your estimates on the China WFE for '25 and '26, either absolute numbers or Y-o-Y comparison?
Hui Wang: Yes. Well, I mean, looking at '25 and obviously, different report, right, show different results. And looking at the Gartner, they're pretty like lower. But you have another IC semi that try showed a very, I want to say, different results. In other words, it's better than the Gartner. I mean you look at '25, '26, I'm still hard to predict maybe, I mean, 10% up or down, right? But for our feeling is it doesn't matter, as I said, China market still exists. This -- they already reached about 30%, 35% of the global number really. So with our differential technology with the new product come out and even the flat of the revenue or the WFE spend in China, we're still expecting our growth and also high growth. As I said, our new product, PECVD, we have a few customers, hand of customers coming to their evaluation this year. We also put our 300 WFE wafer per hour KrF line, which is in line with the scanner will ship out very soon and probably in Q3 and also added a new technology, as I mentioned, our panel level packaging traction. And plus, we have this high temperature anneal 1,250 degrees C, that really can really shorten the anneal time for the IGBT, also other critical application. So as I said, all the new product we put in the market will give us a strong confidence where we have a growing fast even with a flat or Chinese WFE market. As I mentioned, just asked -- also Charlie is we offer China market with a real differentiated product. And we feel confident we can protect our IP and therefore, we can have our, I want to say, margin maintained and give the customer best choice. And so we're not getting into that kind of similar product and price competition. As I said, the Chinese customer still demand for the best performance. If they're choosing performance versus price, of course, they're choosing performance. So that's why we -- our differentiated product can offer such a superior better results, then those people provide a similar product, right? So we think that will be our strong point.
Mark A. McKechnie: Yes. If you don't mind, I might just add a few things on that. Just -- obviously, we're not going to -- we don't give our guidance for 2026 until early in the year. But you probably noticed our OpEx was pretty strong this year relative to our revenue. Even if we do the midpoint, it's still kind of -- we're growing our OpEx this year. And a big reason is we're spending into the market opportunity, right? I mean David mentioned a lot of the new R&D projects. We're also spending more on sales and marketing. But clearly, that spending is kind of anticipating good growth ahead.
Hui Wang: Yes. I want to add on that, compared to the first-tier guy, their R&D is 10% to 12%, right? And we'll spend 14% to 16% that really show our heavy invested R&D. Also with our new product come out in the speed and we have more, I call it product -- new product common ratio compared to the first-tier global guy. And that's why it showed that our spend is higher. So that's why we're spending -- investing in R&D and also sales and marketing, and that's really supporting our next 5-year growth. And we believe we spend this -- I mean, we spend this operation spending is very important and also supporting our long-run growth.
Jimmy Hang: Yes. Also want to ask about the cleaning equipment market share target to get to 50% in the long run in China. Do you think in that case, what will be the split of the remaining 40% share between other Chinese peers and international suppliers? Yes. [indiscernible] 50% market share in China. Yes.
Hui Wang: It's hard to divide who is the second, who is the third, right? I mean, again, we're currently #1 in China, of course, right? Why I see that is our product portfolio really almost can match 95% of the cleaning process step. So we are probably the widest product in the world compared to even the 3 big guys in the global international, right? And also, as I said, our product has a lot of differentiation and pow tool and SAS, Masonic, TEBO and non-violation or non-damaging Masonic technology and also continue adding this recent announced N2 bubbling, right, with a special proprietary design, generate a large bubble size with uniformity. So we're continuing to really not just our product wider spread, also have a lot of innovative approach and better than those top tier in the world, especially I mentioned SPM. Our SPM, as I mentioned, we have new proprietary nodule design and real limit all the liquid splash or acid mist out of chamber. And that really can improving the small particle performance. And today, as I said, 26 nano, we're reaching average almost 5 in the particle. And we believe with improving the chamber environment, and we should get a better result than the 50 nano, 70 nano, which is real advanced next step. So particle. Anyway, I want to say we do our -- again, different approach with IP protection. And that's the strong point, we are saying we're expanding China market. And also, we're not facing any -- as I said again, we've got a very strong IP portfolio in China and globally, also, we do not expect any local Chinese people can copy our tool. So that's a real strong confidence, and we see that expanding in the China market. Of course, with those different product tests in the China market, we push to the global, right? As you know, the cleaning has been more and more important for the future AI chip manufacturing because of the yield suffer. So this cleaning become more and more challenging for 3D NAND, 3D and DRAM down the road and also 3D logic, eventually people see that. So all the 3D cleaning, we do have a product technology really for that. So we're very excited. We're very -- and kind of see our technology going to spread out in other global markets.
Jimmy Hang: Yes. Maybe I have my last question. Can you talk more about your progress in Taiwan and Southeast Asia region and also for the PLP testing because I think the industry now think that mass production of Taiwan foundry FOPLP or [indiscernible] will wait until 2029 or even '30. I think the development time for test and manufacturing will be longer than expected. So how do you think about the mass production of the FOPLP or co-op with the final stage, yes, the last stage for the [indiscernible] done by the panel makers, I mean, for the advanced process.
Hui Wang: Sure. Actually, PLP, this panel level packaging, we believe is ready to go for the large size of the AI chip packaging, right? As people laid down in the panel 310x310 square versus circle, their effective area increased more than 60%, 60%, right? It's a bigger gain for the customer, especially for large chip. Obviously, the people get a no to 310x310, we're probably very soon moving to large-size panel. So we believe that's really a strategic step and the Taiwan customer taking that direction. And to the ACM, I feel we have a very good product really for that product, and we're already putting the market for the low-pressure cleaning, bubble cleaning. Also, I want to mention that is our horizontal and rotational electroplating is really a solution for this panel level, right? And why is looking at the 200-millimeter packaging used to be vertical, and you go 300-millimeter wafer, every turn to horizontal. And now you can see our panel level, we are probably the only guy providing this horizontal solution because of proprietary IP design. And this year, in March, we got a reward -- got a technical award from the 3D IC InCites USA. So we believe our strong position in this horizontal plating will position AC in a very strong position for this future AI PLP market. So we see that as recent, we reached our horizontal plating uniformity less than 5%. And I want to say we'll try next go less than 3%. So we'll maintain equal performance panel square plating versus the circle, same level. That's really driving to the panel. As you mentioned about 2029 or timing, I think that's really depend on technology driving, right? And if a customer can solving the all issue, they can speed up. If they kind of solving maybe delay. So really, this is a market driven by 2 manufacture technology combined together. So I mean, with our copper plating, we definitely believe that will be speed up, right, in the copper plating process, which is one of the major block for the people moving from 300-millimeter wafer to the panel level. And we're glad this technology offers to the customer enabling the production line and hopefully speed up their production. That's our confidence and also, we engaged with the customer in the Taiwan.
Jimmy Hang: Yes. I know that you have technology leadership, you have real products and IP. I feel like the issues that the ecosystem is not ready. So the customer might need to delay their co-op mass production time line. And meanwhile, do you think that they're taking tool supplier from co-op to co-op, Will they still stick to the original Japanese and American supplier, or they could adopt new supplier for co-op? Yes, on co-op for the [indiscernible]? Yes.
Hui Wang: I want to say, I mean, wafer level, we're engaging, right? I mean then you're looking at this panel level, I think we are a much better superior product, right? Wafer level probably will offer equal in this moment, I want to see that. But for the real panel level, as I mentioned, I mean, look in the last 10 years, nobody can do horizontal plating, right? We're the first guy announced the product. We can do horizontal. As I said, even today, we're about 5% uniformity. Our next goal go 3%. I believe with a strong IP position; we should offer the best panel plating tool in the world. And again, right, that's really exciting for our -- I call the penetrate the global market and is one of the key products we offer to enabling the technology for the customer. So we are very -- to put effort on those product development. Plus, we also prepare additional other differentiated products and also enabling the panel level. And we're going to announce probably in the end of this year, we'll work on the new product too and to further get into this market. So we're very excited about this panel level, right? It's way to go because all AI chip at the size big and bigger. I mean we have a very -- we invest a lot in this product.
Operator: Your next question comes from the line of [ Yang Li May ] with UBS.
Unidentified Analyst: Can you hear me?
Hui Wang: Yes, please.
Unidentified Analyst: Just one quick one. It seems like your Q2 year-over-year growth in for the Asia is still underperforming other like China peers. Any reason the hike probably due to different customer exposure?
Mark A. McKechnie: David, I think the question was the growth maybe of ACM Shanghai's revenue or EBITDAs versus some of the China peers, maybe the -- it was -- what's the reason for the difference?
Hui Wang: Between China, within U.S. with our folks -- with other peers?
Unidentified Analyst: Maybe between ACMR, both U.S. and China -- Shanghai versus other like China WFE peers?
Mark A. McKechnie: WFE versus China peers.
Hui Wang: Okay. I didn't see the other results come out in China peer. Obviously, looking at the Shanghai, our revenue growth still looks good, right? And so I want to say we're confident. And also this year, as I said, we'll come to the moment of the multiproduct and the revenue will not much contribute this year. But with the next year, we see our furnace PECVD, Track start contribution, right? And also, we have a new product with cleaning and continue expanding copper plating. So I want to say we still have a very good confidence and also outlook for 2026. And this year, and well Q3 very busy and in Q4, we have a couple of slot open, but we think it will be also fill that soon. So in general, we still have good confidence, we have good growth still this year.
Operator: Seeing no more questions in the queue, let me turn the call back to David Wang for closing remarks.
Hui Wang: Okay. Thanks, operator, and thank you for all the participating on today's call and for your support. Before we close, Steven is going to mention our upcoming Investor Relations events. Steven, please.
Steven Pelayo: Thanks, David. Before we conclude, I just want to give everyone a quick reminder, our upcoming investor conferences on October 21, we're going to present at the Sixth Annual Needham Virtual Semiconductor and SemiCap One-on-One Conference. On August 25, we will present at the Jefferies Semiconductor IT Hardware and Communications Technology Summit at the Four Seasons Hotel in Chicago. On September 3, we'll present at the Benchmark 2025 TMT Conference in New York City. On October 7, we'll present at the 17th Annual CEO Summit in Phoenix, Arizona. Attendance at these conferences are by invitation only. For interested investors, please contact your respective sales representatives to register and schedule one-on-one meetings with the management team. This concludes the call, and you may now disconnect. Take care.
Yi Lu Feng: Thank you.